Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2012 Entertainment Properties Trust Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we’ll facilitate a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I’d now like to turn the conference over to Mr. David Brian, President and Chief Executive Officer of Entertainment Properties Trust. You may proceed.
David Brian: Thank you. Good afternoon all. Thank you for joining us. This is David Brian. I’ll read you our usual beginning preface that is, this afternoon, let me inform you the conference call may include forward-looking statements defined by the Private Securities Litigation Reform Act of ‘95, identified such words will be, intend, continue, believe, may, expect, hope, anticipate, or other comparable terms. The company’s actual financial conditions, results of operations may vary materially from those contemplated by such forward-looking statements and a discussion of factors could cause actual results to differ materially is contained in the company’s SEC filings, including the company’s report on Form 10-K for the year-ending December 31, 2011. All right. With that preface, I’ll say again good afternoon to you all. Thank you for joining us. This is the call from second quarter 2012, this is David Brian, the company’s CEO. And as usual, with me to go through the news of the quarter Greg Silvers, the company’s Chief Operating Officer.
Gregory Silvers: Good afternoon.
David Brian: And Mark Peterson our Chief Financial Officer.
Mark Peterson: Good afternoon.
David Brian: We’ll start right away, I’ll remind you all as we do. Slides are available via eprkc.com there is a link there, the slides will help to follow along the content of the call. Also as I usually do with the headlines for Entertainment Properties Trust for the second quarter of 2012 and they are number one, the portfolio performance remains strong. Second, is meaningful progress on charter loss issues in public school portfolio. Third solid momentum in investment spending supporting 2012 investment guidance. Four rating agencies give EPR favorable reviews and fifth company performance on track to support increased earnings guidance for 2012. So those five I will go through them individually. I’ll turn to our first headline and that is portfolio performance remain strong. As usual we will update you on the primary metric of health for our largest investment property type cinemas and that is box office performance and just as we reported to you last time this major health our largest category of investment remains very strong and its performance for 2012 with both the quarter and year-to-date box office remains up nearly 10% over the same period last year. In connection with this industry report I want to also briefly address the recent tragedy at a theater in Colorado. I am sure that you just like us were horrified and stunned by the senseless violence endured by innocent people at a movie theater. We feel deeply for the victims but also want to remind you the entertainment and enjoyment brought to millions by the cinema. Movie going remains by far the largest form of out of home entertainment in America, as it has been for the entire 15 years of the existence of the company and well before. Every year in America alone hundreds of millions of people attend the cinema without any incident other than the pleasure of the plot line. Drama or comedy, sobbing or laughing we enjoy our time together with family, friends and community immersed in the art and the magic of the movies. Our second headline this afternoon is meaningful progress on charter loss issues in public school portfolio. I would like next to address our public charter school portfolio and resolution of he charter losses we informed in our last call. The first thing is I want to reiterate this is not a monitory event for EPR. We tried to be clear about this in our last call. We do not expect any loss of rents due to loss of charters at some of client’s schools. Due to the master lease structure of our investments the financial strength of our client Imagine and our additional credit support in the form of a letter of credit we do not expect these charter losses to interrupt or disrupt our rental income. Our charter public school portfolio continues to be 100% leased. In order to maintain the strongest portfolio however, we are taking steps in corporation with our client Imagine to sub lease exchange or sell some of these proprieties. With progress made this quarter there will be detail later we have reduced this issue by half already to about $35 million of investment value. I want to stress this is only a major of it size and no rent or NOI is viewed at risk as a result of this issue. The changes may support the long-term health of our portfolio. Now going to our third headline this afternoon solid momentum in investment spending supporting 2012 investment guidance. This quarter like last will has some detail of investments currently being made. Greg will detail these investment shortly and I just want to say that I’m pleased that we are again this quarter able to add to all three of our primary investment areas of entertainment and recreation and education with properties that meet our rigorous criteria. We continued to make progress with pipeline opportunities in all three of these categories giving us confidence in achieving our projected $250 million to $300 million of investment spent for the year. Our fourth headline is some good news that builds on the momentum of validating our credit quality to begin with our debut bond issue and investment grade ratings in mid-2010. It is rating agencies give EPR favorable reviews. After completing our regular annual reviews with the credit rating agencies I’m pleased to report some positive news. While Standard & Poor’s is yet to make any announcement and we do not expect any rating change there Fitch affirmed their prior BBB minus investment grade rating. Annuities went further, not only affirming our investment grade rating of Baa3. But additionally awarding the company with a positive outlook towards further credit rating improvement, we appreciate this recognition that is given to the progress to the company’s credit metrics and portfolio strength since the initial award of investment grade ratings two years ago. Now turning to our last headline, company performance on track to support increased earnings guidance for 2012. I’m very pleased to tell you all the news and the results of company point toward achievement of increased earnings beyond the guidance we’ve previously outlined for 2012. Our previous guidance was for FFO as suggested per diluted share of $3.50 to $3.70 which I’ll remind you represented an increase of 5% over a 2011 performance level. We’re now in a position to increase our guidance by $0.02 on the midpoint. Our new 2012 FFO as suggested per diluted share guidance is $3.57 to $3.67. The midpoint now represents an annual increase closer to 6%. With that I’ll hand it off to Greg for the details of the portfolio I spoke about and to mark about the financials and I’ll join you as we go to questions.
Gregory Silvers: Thank you David. The second quarter of 2012 demonstrated our continued execution of our capital plan with approximately $80 million of capital spending in the quarter and additional commitments in our build-to-suit business. Along with the capital spending we have several updates to discuss across the various segments of our business. First in terms of performance, the box office has remained strong up approximately 10% at quarter end and it continues to sustain that level of performance. During the quarter we continued to execute our strategy of delivering eight to 10 theater build-to-suits. We previously announced six transactions and during the second quarter we entered into three additional theater transactions. Specifically we entered into a build-to-suit transaction with Regal Entertainment Group for the construction of a 14 screen theater at the promenade at Virginia Gateway. This is our second announced Regal build-to-suit and we’re excited about our growth with this tenant, second we entered into a build-to-suit agreement with Southern Theaters for the construction of a new 14 screen theater at the Esplanade Mall, a Simon mall located in Kenner Louisiana, a suburb of New Orleans and third we entered into a two theater transaction with Frank Theaters, a new tenant for properties located in North Carolina and West Virginia. The North Carolina property is an existing theater while the West Virginia property is a build-to-suit. Our total capital spend committed for these projects is approximately $35 million which combined with our $50 million of build-to-suit projects announced in the first quarter gives us nearly $85 million of theater projects announced year-to-date through the second quarter. We are pleased that we’ve entered into transactions involving nine theaters so far this year and are encouraged that this number will continue to grow with the balance of the year. Additionally, we are very pleased with the announcement that AMC had agreed to terms with Dalian Wanda to be acquired in a transaction valued at approximately 2.6 billion. We are very excited about Wanda’s announcement to inject 500 million in capital into AMC for refurbishment and enhancement of existing assets as well as repayment of existing debt. We believe that many of our properties will be recipient of these enhancement dollars given the strong performance of our properties and that the repayment of the debt improves the credit profile of AMC. Also we believe that with the new strategic owner in place the AMC management team will return to a strategy of investing for organic growth by explaining their operating platform. The proposed transaction is not closed however, they have indicated that it should be finalized within the second half of the year. Another development that is materialize as a result of AMC’s proposed transaction is their decision to exit the Canadian market. As a result AMC proposed and we consented to an assignment of our four leases in Canadian to two new tenants. The new tenant for our Oakville and Mississauga properties will be Cineplex Entertainment, the largest cinema operator in Canada. Our Kanata and Whitby properties will now be operated by Empire theaters the second largest operator in Canada. Both of these operators are significant credit upgrades with Cineplex leverage being one-times EBITDA and Empire theaters having no debt. Furthermore these transactions along with our continued expansion with other operators have significantly lowered our concentration with AMC. As the slide indicates our AMC concentration has declined from 70% of total revenues in 2003 to 29% on 2011 pro forma numbers removing AMC from the Canadian theaters and the run rate is approximately 27%. While managing this exposure has never been a top priority as we aim to own the best theaters, it has been a metric the rating agencies have discussed with us and we’re pleased to make such significant progress on this issue. In addition to our theater performance our entertainment segment added another proven and successful admission and concessions business with our financing of the John Hancock Observatory which is part of the landmark John Hancock Center on Michigan Avenue in Chicago. We entered into this transaction with Montparnasse 56 a proven operator of observation deck assets in Europe who put in an additional $12 million of capital beyond our investment of $36 million. The John Hancock Observatory has been a consistent and reliable entertainment asset that has an annual attendance of over 500,000 visitors and generates significant cash flow which will only be enhanced by the experienced leadership of the Montparnasse. Within our education segment we continued to make progress in resolving our issues with nine Imagine schools that lost their charter. As we discussed in our previous call due to the strong cash flow of our Imagine portfolio no payment shortfall is expected and we have moved expeditiously to deal with the unproductive schools. Specifically as we announced on July 17th we’ve executed two collateral substitutions involving our four more properties in Kansas City Missouri. These properties were substituted for two performing properties one in Land O’ Lakes, Florida and a property in Pittsburgh, Pennsylvania. Both of these substituted properties are performing well academically and have high enrollments. Additionally Imagine has entered into a sub lease transaction with the St. Louis Public School District to lease our largest St. Louis Missouri asset, the Spring Street location. These three assets the two collateral substitution and the sub lease property represent $36 million and the $72 million total asset value for the nine affected schools. Further more as the announcement indicated we have entered into an agreement to substitute three additional schools subject to without underwriting prior to the beginning of the school year. Also we should have resolved approximately 70 to 75% of the total asset value of the affected properties prior to the beginning of the school year. Additionally we had examined Imagine’s entire 75 school operating platform and it does not appear that they have any systemic risk of additional charter revocation. As we said last quarter we are now pleased with Imagine losing these charters, however their financial strength combined with the structural protections supported by our master lease structure has allowed us to weather this issue without a least payment impact. During the quarter we also made additional charters for commitment as we further diversified our operator base. We’ve entered into four additional charter school transactions. These schools represent a total capital commitment of approximately $40 million and are located in Arizona and North Carolina. As we previously stated we continue to be excited about the opportunity set presented by public charter schools and remain bullish about the sector as the national alliance for public charter schools forecast is for an additional 400 to 500 schools being started for the 2012-2013 academic year. These operators well run with an eye toward academic as well as credential performance. Within our Recreational segment, our properties continued to perform at outstanding levels. Our TopGolf investments are performing above projection and continue to exceed our expectations. Additionally our Shutterbug Water Park investment continues to be the beneficiary of the record heat experienced in the Midwest and the properties are performing at or near last year’s record performance. In our other category we continue to make progress in the planed disposition of our vineyard and winery assets. During the quarter we sold a portion of our Buena Vista assets to Jackson Family Estates for a sale price of $13 million, resulting in a gain of approximately $400,000 over our current basis. This asset was previously unleased and we’re pleased to invest the sale proceeds into the high return segments of our business. Additionally Ascentia formerly the tenet on our largest investment sold its California brands and inventory to Accolade the 5th largest wine company in the U.S. and its Washington brands and inventory to Gallo the largest wine company in the U.S. As a result of these transactions, we restructured our leases resulting in about $1 million annual reduction in lease payments. We elected to pursue these actions due to the strength of each of these tenants compared to Ascentia. Further more, each of these restructured leases includes purchase options that could and should expedite our disposition of these assets. As these transactions indicate, we continue to be dedicated to exiting the vineyard and winery space and redeploying the capital into one of our other existing segments. As I said earlier, our total capital spend within the quarter was approximately $80 million, bringing our total year-to-date capital spend number to approximately $150 million and with our announced commitments our committed capital was significantly larger. The cap rate on our announced transaction continues to be in the 9% to 10% range. Our overall occupancy remains strong at 98% and we continue to maintain our capital plan at a range of $250 million to $300 million. With the progress of the first two quarters, we have a high degree of confidence that we will meet or exceed the goal. We are seeing opportunities in all of our assets segments and we remain confident about our prospects for the balance of the year. With that, I will turn it over to Mark.
Mark Peterson: Thank you, Greg. I’d like to remind everyone on the call that our quarterly investor supplemental can be downloaded from our website. Now, turning to the first slide, I’m very pleased to report solid second quarter results. FFO for the quarter increased from $38.7 million to $43.1 million. FFO per share and FFOs adjusted per share were both $0.92 for the quarter, whereas $0.83 in the prior year, an increase of approximately 11%. For this first six months of the year, FFOs adjusted per share was $1.78, versus $1.66 in the prior year, an increase of approximately 7%. Before I walk to the key variances, I want to discus one gain that was excluded from FFO calculation this quarter. As Greg discussed, we continued to make progress towards selling our remaining vineyard and winery investments particularly with respect to unleased properties. During the quarter we completed the sale of approximately 50% of the vineyards at our Buena Vista property for $13 million and recognize a gain of $438,000. As a result of the sale the related operations of this property were reclassed into discontinued operations. As of June 30th, the carrying value of our remaining vineyard and winery assets was down to approximately $100 million. Now let me walk through the rest of the quarters results and explain the key variances from the prior year. Our total revenue increased 6% compared to the prior year to $78.9 million. In the revenue category, rental revenue increased by $3.2 million versus the prior year to $59.2 million and resulted primarily from new investments as well as base rent increases on existing properties. The second quarter is historically our lowest quarter for percentage rents based on the lease years of our tenants. Percentage rents for the quarter included in rental revenue was $100,000 versus $84,000 in the prior year. Mortgage and other financing income was $15.3 million for the quarter, up $1.5 million from last year, this increase is primarily due to additional real estate lending activities. Now on the expense side, our property operating expense decreased by $1.3 million versus the prior year primarily due to a decrease in our bad debt expense. This lower bad debt expense in part relates to $0.4 million we collected from Ascentia this quarter upon the closing of its wine brand sales, this receivable had been previously reserved. Others expenses was $431,000 for the quarter a decrease of about $300,000 from last year. This decrease is due to lower losses recognized upon settlement of foreign currency hedges. G&A expense increased $700,000 versus last year to approximately $5.8 million for the quarter due primarily to higher payroll related expenses as we continue to support our growth as well as higher professional fees. Our interest expense for the quarter increased by approximately $1.2 million to $18.5 million. This increase resulted primarily from an increase in our outstanding borrowings during the quarter partially offset by the impact of a lower weighted average interest rate on our outstanding debt. Equity and income from joint ventures decreased by approximately $500,000 to $278,000 for the quarter, this decrease was primarily due to the conversion of our equity investment in Atlantic-EPR I to a mortgage note receivable earlier this year. Finally preferred dividends decreased by $1.5 million to $6 million for the quarter due to the redemption of our Series B preferred shares late last year. Now turning to next slide, I would like to review some of the companies key credit ratios. Please note that our supplemental summarizes these key ratios on page 16. As you can see from this multi-year summary our coverage ratios have continued to improve over time and remained strong for the first half of this year with interest coverage at 3.7 times, fixed charge coverage at 2.8 time and debt service coverage at 2.7 time. Our AFFO per share for the second quarter was equal to our FFO per share at $0.92 and our AFFO pay out ratio for the first half of this year was 83%. Our debt-to-adjusted EBITDA ratio was 4.8 times for the first half of this year and our debt-to-gross assets ratio was 40% at June 30. This ratio remains at the mid point of our previously stated range of 35% to 45% and our balance sheet continues to be in great shape. Let’s turn to the next slide and I will provide a capital markets and liquidity update. At quarter end we had total outstanding debt of $1.3 billion about $1.2 billion of this debtis either fixed rate debt or debt that has been fixed through interest rate swaps with a blended coupon of approximately 5.7%. We had $112 million offsetting at quarter end on our $400 million revolving credit facility and about $13 million of cash on hand. We are in excellent shape with respected debt maturities. As shown on the slide as of June 30th we have only 65 million due later this year and 98 million due in 2013. These 2012 and 2013 debt maturities are callable (inaudible) with 30-day and six months notice periods respectively and thus provide us great flexibilities. We look to refinance these amounts in the future. As David mentioned I am also pleased to report that both Moody’s and Fitch have recently confirmed their investment grade ratings for outstanding senior unsecured notes of BAA3 and BBB respectively and further Moody’s has given us a positive outlook. S&P is yet to release the results of their annual review but we do not expect any change in their ratings. Now, turning to the last slide based on the results to-date and our expectations for the remainder of the year we are increasing our guidance. Our FFO was adjusted for share to 357 to 367 from the previous range of 350 to 370. And as Greg mentioned previously we are maintaining our 2012 investment spending guidance at $250 million to $300 million. Now, I’ll turn it over to David for his closing remarks.
David Brian: Thank you, Mark thank you Greg. As we go to questions, I want to share with you an additional thought to crystalize in our recent preparations for and discussions with the rating agencies. After nearly 15 years of 100% occupancy and never missing the schedule rent payment on a theater investment most of those skeptical at first have been willing to describe this multi-billion dollar investment focus as a full success. Interestingly, despite a comparable performance track record the same is not true for some of our other major areas of investment. Maybe this is due to our lack of clear and consistent communication. I want to take this occasion to draw attention to the fact that since our first ski property investments seven years ago in 2005. Now with hundreds of millions of dollars invested we have also experienced 100% occupancy and never missed a monthly payment on our ski and waterpark recreation property investments. Likewise in the category of eduction investments since our first charter public school investment in 2007 five years ago, again now with several hundred million dollars of investment value a 100% of all the properties have been leased and we’ve never missed a schedule around payment. I hope this and further presentation of our track record will build enthusiasm for these categories of investment just like there has been for our theater properties. And one final note and unfortunately a final note it is I regret to inform you of the untimely passing of a member of the EPR family. Jon Weis who is one of the founding employees of EPR in 1997 and served in a role that included responsibilities for investor communications for almost ten years and as a result many of you came to know died of a sudden cardiac issue earlier this month. Jon was only 46, he was a friend of mine and many of you as he was one of the genuinely nicest people you’ll ever meet. I felt that I needed to let you know of his passing and his absence in our future communications. With that I’ll turn it over to the operator, so we can open the line to questions.
Operator: Thank you. (Operator Instructions) Our first question is from the line of Anthony Paolone from JP Morgan. You may proceed.
Anthony Paolone: Thank you and I am really sorry to hear about John, I had not heard about that.
David Brian: Thank you Tony.
Gregory Silvers: Thank you Tony.
Anthony Paolone: My first question is on guidance and bumping it up a little bit and pointing to really going to where the higher end of the, your previous stand more or less. What really drove it could seems like kind of back half of the years about kind of aware most of the street and we were, is it just timing of deal flow because it seems like you’re absolute deal flow is about the same, like what do you think really drove it?
David Brian: Well we beat this quarter by a penny largely driven by impart lower bad debt expense. So that’s part of it and then going forward I think its just been all the way maintained our investment spending guidance I think the mix and timing is little bit more favorable than we had originally planned.
Mark Peterson: Yeah, it tends to be more timing driven.
David Brian: Many smaller things than one major thing to give you Tony.
Mark Peterson: Timing is probably the biggest thing our expectations for the remainder of the year or things were going to happen a little bit faster than originally anticipated.
Anthony Paolone: What, your operating expenses sequentially and year-over-year, rolled down a bunch, what’s in there and what is back going from...
Mark Peterson: Yeah let me let me explain that. So they were down 1.3 million first let us do it versus the prior year. About 300,000 that is just property operating expenses are lower than a year ago and you’ll notice our tender reimbursements are lower by the same amount. So those things kind of fluctuate together with respect to property operating expenses. The big reason for the change, the other part of the change, the other $1 million of $1.3 million change is really driven by bad debt expense and let me break that down little bit for you. I mentioned we collected 400,000 from Ascentia at the closing of the sale of those brands and that was something we had previously reserved so that was an up of $400,000 as it related to that. I think the prior year quarter had $150,000 kind of one-time adjustment negatively so that’s another 150 and I think the remaining roughly 400,000 if I do my math right or $450,000 roughly is just due to better bad debt experienced across the portfolio and that’s a combination of wine entertainment retail centers et cetera. So it really breaks down in three components for that $1 million bad debt change.
Anthony Paolone: Okay. And I know you talked to this though in terms of yields for your investment activity over the balance of the year, is that where do you peg that?
David Brian: Yeah, what we said about 9 to 10% is we’re experiencing what we would anticipate continuing to experience totally for the balance of the year.
Anthony Paolone: Yeah, okay. And then on this the observatory deal in Chicago can you just walk us through like how many how much square footage is that and coverage and just its something new to us, can you just maybe give us some details?
David Brian: Sure, sure, it’s the observatory floor which breaks down to about 30,000 square foot play. The coverage is anticipated to begin at about 16, 17, and go over 20. It has this property has the underwriting of this candidly is about a 40 year history so there is a lot of history to underwrite a lot of different economic cycles and at the attendance metric that its showing which is consistently generating over 500,000 its comfortably in those coverage levels we think that Montparnasse given their history they operate observatories and both and at several locations in Europe and France and Germany they are actively looking at being part of some other assets in United States that they will actually enhance that they’ve proven that ability to do that. So Tony I mean we look at this is what it is, it’s fundamentally what we do admissions and concessions business like F&B and admissions and they, it looks like it’s a very strong cash flow generating. We were very excited about the amount of cash that they put forward into the deal and we’re highly anticipated them that kind of ending up at above the two whole coverage. We’ll need the floor of the building, yeah.
Anthony Paolone: Okay. And do they, do they own it as a condoed out from the rest...
David Brian: Yes it is it’s condoed out.
Anthony Paolone: Okay. I understand.
David Brian: It’s condoed out to be clear it’s condoed out and has its own separate elevator system. So including the elevator system as well.
Anthony Paolone: Got it, okay. And then in terms of charter school staff with just a few more to go do you anticipate those getting done by the beginning of the school year and if they don’t dose they kind to put you off a year before it’s get addressed or it’s just way to next year before, some one else is going into space or something like that?
David Brian: No I mean on the swaps ours is really just getting done with our underwriting. I think that, we have the properties that propose the collateral swab candidates that we are considering and we’re going through the third party as you can imagine what would be third party environmentals and property condition reports and like to get those process. On the assets that remain after that Tony there is still sub lease candidate that could begin even later this year and or also potentially start buildings that could just be sold and we can be paid off as a result.
Mark Peterson: But just remember Tony we’re going to be paid every month regardless. And if a if the somebody interested in not the 12-13 school year but the 13-14 year I mean we’re gong to get paid every month depending on regardless where they take it in September 12, or September 13.
Anthony Paolone: Okay. Got it, yes. Thank you.
Mark Peterson: Thank you Tony.
Operator: Your next question is from the line of Craig Mailman from KeyBanc Capital Markets. You may proceed.
Craig Mailman: Hey guys I joined on the line from as well. Just one quick follow-on on the observatory. Did they have an early prepayment option on that or are you guys good on almost 11% for 20 years?
David Brian: They have a prepayment on that and I think year ‘12 but I think that’s the earliest. And then it’s with a premium, so.
Craig Mailman: Okay. So, that rate is locked in for a while.
David Brian: Yes.
Craig Mailman: As you look out at the sort of the $100 million of spending less to go, how much of that is going to be new investment you guys are going to identify versus just continued spending on products you’ve already identified.
David Brian: Well I think the majority of it is probably going to be projects that are identified. We are going to have new, we have some new projects but as you can imagine we started nine theater built-to-suit projects. So we have school projects that have been started. We had several earlier announced in the first quarter. So there is a substantial amount of that those dollars that are already targeted.
Craig Mailman: Okay well, just to get a sense of what’s the pipeline of maybe theater built-to-suit you guys could start later this year and probably next year versus charter schools. Just trying to get sense of, what’s kind of behind spending that’s done this year?
David Brian: Yeah I think you’ll see us, I think as we said at the beginning of the year that we said we’d 8 to 10 we’ve announced nine already. I think we would be at least hoping to start 3 to 5 additional projects that we have great visibility on and I think it’s part and that another additional number that large that we’re considering and looking at in the theater space. I think in the charter school space, I think you know starting for the balance of the year we could still have somewhere between six and eight schools that we are going to start.
Craig Mailman: So it’s somewhere slightly near about 100 million of potential additional projects.
David Brian: That’s correct, this year, yeah.
Craig Mailman: Okay. And then just for Mark, I just want to circle back to your comments on 65 million of debt maturities for this year and kind of combined I believe that having outlined are you guys going to refinance the 65 million or are you going to take that on line and then turn out line later this year with may be another unsecured deal preferred kind of what’s the thinking on the capital, if you guys have at least another 100 million to sort of spend throughout the year makes up almost 300 million on the line?
David Brian: Yeah, right, we start, we ended the quarter with 112 online as you mentioned and if you combine this sort of 150 million of acquisition spending and the 65 million of debt payoff that’s $215 million additionally use of that gets you line up 327 roughly I mean just doing the math. That fits in well with the bond a potential bond offering or some type of unsecured debt offering of at least 250 would be the expectation and then the nice thing is that that brings us to about 42% leverage if that’s all you did. We have the ability kind of flexibility and actually plan for some equity issuance, but not required to bring that back down to like 40%. And then additionally if we did some equity that brings down the balance to roughly zero, if we did some equities call it 80, 90 million of equity then we have the option if we so to desire to take up that 2013 debt additionally for 100 million and in that case I’d finish the line something like 100 million. So I have got quite a bit of flexibility both with respect to want to pay up the 100 million that’s due in February 2013 in this year, A, B, do I want to issue equity I’ve got flexibility there depending on the market conditions.
Craig Mailman: Yeah, so oops sorry, go ahead.
David Brian: No, it’s just like we’re, we anticipate I think the short answer is that it was anticipated to be probably a dead issue, that replace those other dead amounts, without really increasing significantly the leverage of the company, so.
Craig Mailman: What do you guys think is the price today?
David Brian: I don’t know, we continue to be disappointed with the trading level of our previous bond, but we know it trades very, very thinly and, but I think that’s something we just evaluate from time to time, I don’t have any speculation on that to give you.
Craig Mailman: Okay. And then just one quick last one, what level of capital raise is in guidance, sort of in the mid point of guidance, this 250 in the 89 million of equity or....
David Brian: We always plan for 40% leverage, so if you think about you got $215 million uses and then you can think of that as sort of partially funded with equity and partially funded with debt depending on where I want my line balance to be. So, we’ve got, call it, 80 million to 100 million of equity in our plan. But again, not, we don’t have to hit that if we want to bring up our leverage a little bit higher by the end of the year.
Craig Mailman: But.....
David Brian: On market conditions Craig, we don’t like our price, we’re comfortable with that 42% leverage?
Mark Peterson: Right.
Craig Mailman: Yeah, but, I know why both of them kind of come towards the end of the year unless investment spending really accelerates.
Mark Peterson: All right, well I mean, we have more......
David Brian: Well, we have more flexibility on the debt, we kind of.....
Mark Peterson: Yeah, we kind of have 112 on the line and we’re going to continue to do acquisitions and developments. So, even if we hit one sooner than later, you could suffer a little bit of cash in the bank and that wouldn’t that big a deal, because we use it up pretty quickly.
Craig Mailman: Okay, great. Thank you.
David Brian: Thank you, Craig.
Operator: And your next question comes from the line of Michael Bilerman from Citi. You may proceed.
Michael Bilerman: Yeah. Just in terms of raising capital, do you have an ATM in place or you did as a market debt offering?
David Brian: Well, we could go either direction. We do have a direct stock repurchase plan in place that we hit in the past. So we could do it that way or we could do it as an offering.
Michael Bilerman: And then I guess what is, what sort of range of rate is taken for a bond deal, I know I mean you said your disappoints where the bonds are trading, the bonds are yielding, 58 right now, what if you better need like 5 in terms of the numbers?
David Brian: Well, we hope for significant improvement, but that would probably be pretty aggressive, but I don’t think as low as five but inside where we are now but not as low as five.
Michael Bilerman: Okay and then just in terms of the Hancock, what so the collateral itself is the conduit floor which they’ve purchased for 58. Is there do you have any corporate guarantee or any other?
David Brian: Other guarantee as well so.
Michael Bilerman: And that’s a corporate guarantee?
David Brian: Yes.
Michael Bilerman: And what can you tell us about sort of the corporate and their financial health?
David Brian: Very strong and they operate both the Montparnasse observatory and other amusements and then the Berlin Observatory it’s a very like I said their ability to put $12 million of cash in this is demonstrated their capability and I think there if you go out and consider they’re one of the lead candidates for the new World Trade Center as well for their observatory. So they’re very well heeled.
Michael Bilerman: Do you know what they’re sort of assets on balance sheet relative to debt is?
David Brian: I do I just don’t know that we, I don’t know that I can just disclose that Michael, I can let me check with them and make sure and get back with you.
Michael Bilerman: Okay in terms of the peak resorts loans coming during the ‘13, have you which had gotten extended per contract what is the current status of, whether that gets repaid or redone next year?
David Brian: Well, we’ve had some discussions with them. My expectation would be at this point that they would that would be extended.
Michael Bilerman: Under the same terms or would that get re-negotiated?
David Brian: My guess is the most conservative thing I think we say they extended at the same terms because it’s a pretty fair, healthy rate. But we would have to, may we put some amortization on that or something, but right now I would just put it at the same terms for your modeling purposes.
Michael Bilerman: And that coverage right now on that note is what?
David Brian: We include that in all in our overall kind of coverage and put it into the overall payment plan. So when you see the 125 we just, we load at the property level coverage that’s 10.
Michael Bilerman: So that loan has got 125 coverage?
David Brian: No, that we do that at entity level, yes.
Michael Bilerman: And entity level for peak?
David Brian: I mean that there is no productivity on the land. So the coverage level that we took is a property coverage level.
Michael Bilerman: Okay, in terms of the Imagine had they asked for I know that they can, that you’ve been loved have they asked for a rent reduction?
Mark Peterson: .
Michael Bilerman: So that they never came up in any discussions?
Mark Peterson: That’s not.
Michael Bilerman: Can you given an update on Concord and where things stand?
Mark Peterson: Sure, David.
David Brian: Well, there is no really an update to give. We still I think we’ll announce when we have. We have the, option signed and progress underway. The revising the planning entitlements for consistent with that program and that’s it for now.
Michael Bilerman: In terms of...
David Brian: Let this option expire for big purchase and...
Mark Peterson: Oh that is I guess an update, we had these options did expire and we had to Mark we had to classify that on our...
David Brian: Yeah, it’s roughly 28 million there was a non-controlling interest and that slipped to additional paying capital this quarter’s as a result of that option expiring on exercise.
Mark Peterson: The probably did lease some acreage here the option too that otherwise also was going to expire and spending $200,000 a year for lease of some acreage with nothing happening on that acreage.
David Brian: None of (inaudible) acreage is part of our plan development with Empire.
Mark Peterson: Right.
Michael Bilerman: And do you have any, I mean, do you want to accelerate the exit, I mean how long are you going to wait?
David Brian: Well, we’re always willing to sell it. I think we’ve made that clear in the beginning, but I don’t know that we have a timing for that sale, we otherwise as I said, we had a timing overall for the progress of the Empire project, which we don’t have any significant update to give you at this time, but that’s what we’re expecting next.
Michael Bilerman: In terms of the balance sheet metrics, and your discussions with the agencies, what sort of goal post did they put you in sort of debt to asset, debt to EBITDA and secured debt levels?
David Brian: Frankly, I think that our metrics are very solid, which is what they’ve told us in terms of our fixed charge, and interest and debt service coverage.
Michael Bilerman: Debt to EBITDA, all of those...
David Brian: Yeah.
Mark Peterson: There are no issues on those issue.
David Brian: Given the coverage on the metrics you really don’t, those people, what concern we have still has little bit to do with the tenant concentration, as we’ve said a long time, we like buying a lot of the things we know a lot about and people we know a lot about and since we have crossed defaults and master leases, we’re not uncomfortable with those concentrations, but they are atypically and if anything not are financeable ratios Michael, but those issues qualitatively give more pause to people otherwise moving up our ratings from where they’re even are today.
Michael Bilerman: Okay. Just, can you go over where you stand with the role, the two theaters this year and four next year, what’s the current status of everything?
David Brian: The two that we have, actually we don’t have two, we have, it is, I need to say one. One theater I know, I’m trying to think, I thought it was actually was more than two that we had more than that.
Mark Peterson: Make sure you extend it.
David Brian: Call it oh yeah, okay, I am sorry one of them is already extended and then so we have...
Michael Bilerman: And now extended at the current rate or...
David Brian: Yeah, well if it’s extended then you said their option grew.
Mark Peterson: Which is still the annual escalators.
David Brian: But we obviously, one that we think we are going to repurpose.
Michael Bilerman: So one that I think we have is the one that we will repurpose. And of the discussion on the four for next year?
David Brian: No they don’t – with AMC they don’t come up really until six months out but I mean it’s that so we don’t have any discussions on those yet.
Michael Bilerman: The four for next year?
David Brian: Yeah.
Michael Bilerman: What’s your thought in terms of those assets?
David Brian: My guess is again I think we will have there will be about three of those that will extend and one that we will need to rework may be two.
Michael Bilerman: So three extend...
David Brian: Yeah, kind of consistent with what we’ve seen before.
Michael Bilerman: And then just lastly just in terms of the rental revenues that you show on page 27 is it just percentage rents that would just cause the declines for AMC and rates?
David Brian: I am sorry.
Michael Bilerman: Just the you show the revenues for the quarter on page 27 your top tenants AMC and rates both went down sequentially is that just percentage rents?
David Brian: Yeah, that’s primarily was driving those changes percentage rent this is our lowest percentage rent quarter in the second quarter so that’s generally what’s driving.
Michael Bilerman: Okay, thank you.
David Brian: Sure.
Operator: And your next question is from the line of Richard Moore from RBC Capital Markets. You may proceed.
Richard Moore: Hi, good afternoon guys. The school situation seems to be moving on much quicker than I thought it would happen and I am wondering if is there any chance any of the buildings you own would be charter less without students in them when the school year starts in September?
Mark Peterson: There is a potential, I mean as I said we think we’ll have dealt with 70% to 75% of these before the beginning of school year, so that probably corresponds to potentially two maybe three schools that will, that could be vacant, that’s not our goal, when we’re working to make that not possible but what we’re trying is we have real good visibility to clearing up 70%-75% of it, beyond that we’re kind of working with people and seeing where they’re going.
David Brian: To stress again Rich these maybe vacant in terms of not in use but they’re still under lease and being paid.
Richard Moore: Right, right David yeah and I’m with you. And then but filling them, filling those actual buildings during the year will probably be difficult I’m guessing right either...
David Brian: Yeah it depends upon what kind of situation say in another charter school. If another charter school is in lease space or they are in some sort of compromised space. Potentially they may want to gain control of a sub-lease space and move. We’ve opened schools, they bid from other spaces when we build them purpose-build buildings...
Mark Peterson: Yeah we’ve moved the charters mid year into better spaces and these are some of the better schools in the market. So, if somebody has interior space and wants to move in it’s not beyond reach that they would move even in a mid year I think Rich that the point for us was we yes we have, we wanted to move expeditiously on this, we that gets in and as David said we never at any time though there was a monetary issue but it does and did create noise and we wanted to temper that noise as quickly as possible.
Richard Moore: Okay. Good, yeah, thank you guys, I get it. Then staying with that for a second, you mentioned Greg that there is no systemic risk in your view to imagine, I mean, how did you come to that conclusion or what was your analysis I guess...
Gregory Silvers: Yes, what we did was we went back and looked because of the fact that at – like St. Louis it appeared to be academic issues that were driving. So not only did we look at our portfolio but we did an academic review of every school in their portfolio and that with them we then did a cash-flow analysis of the entire company and worked with the company and got input on kind of climbing inside their books. And that was the result of our analysis.
Richard Moore: Okay. So for the vast majority of them you think are basically just same.
David Brian: Yeah, yeah, they’re fine and so that’s what we did. We did an analysis like I said I not just our schools but all of their schools and not just our cash flow, but all of their cash flow.
Richard Moore: And that was with their help I assume.
David Brian: Yes.
Mark Peterson: Yes.
Richard Moore: Okay got you. And then can you give us some thoughts on how the Toby Keith’s I Love This Bar and Grill is doing down in Dallas.
Mark Peterson: It seems to be we’ve got some early indications that they’re doing really well on the weekends. They wish they were doing better through the week that’s a function of like I think all entertainment venues, but they appear to be happy in the directionally the way things are going and so, this is just anecdotally us checking on them, but by gearing up and showing us some of their weekend numbers, they’re weekend numbers are pretty dynamic.
Richard Moore: My understanding is we may have we’re not hear in Cleveland soon, so I can go to...
Mark Peterson: Well get your cowboy hat and go Rich and you can report.
Richard Moore: Yeah, I think I got to buy a cowboy hat, bye guys, thank you very much.
Mark Peterson: All right, thank you.
David Brian: Thank you.
Operator: And at this time there are no other questions, I’d like to turn the call back over to Mr. David Brian for your closing remarks.
David Brian: All right well, I appreciate everybody joining us as usual. Thank you very much and we look forward to join you each quarter and between time of course if you have any further questions, please be in touch. I’ll be glad to address them. Thank you very much.
Mark Peterson: Thank you.
Operator: And ladies and gentlemen, this concludes your presentation. You may now disconnect and have a good day.